Operator: Good morning and thank you for joining us today to discuss O2Micro’s Financial Results for the Fourth Quarter of Fiscal Year 2013. If you would like a copy of the press release we issued this morning, please call Pamela Campbell at 408-987-5920, extension 8095, and we will fax you a copy immediately. It is also posted on the O2Micro website at www.o2micro.com under the heading Investors. There will be a replay available through February 5, 2014 at 9.00 am Pacific Time by calling 1-888-203-1112 or 1-719-457-0820 pass code 8103180. Following the presentation by management the conference will be opened for questions and answers as time permits. Gentlemen, you may begin.
Scott Anderson: Hi, good morning and thank you for dialing into O2Micro's financial results conference call for the fourth quarter of 2013 ending December 31, 2013. This is Scott Anderson, Director of Investor Relations. I would like to remind listeners that the discussion of business outlook for O2Micro contains forward-looking statements. Statements made in this release that are not historical facts are forward-looking statements within the meaning of the Federal Securities laws. Actual results may differ materially due to numerous risk factors. Such risk factors are enumerated in the company's 20-F Annual Filings, our Annual Report and other documents filed with the SEC from time-to-time. Listeners are referred to the O2Micro earnings press release and the documents filed with the SEC to understand these forward-looking statements and the associated risk factors. The statements made herein are dated information. The company assumes no responsibility to provide update to this information. With me today are Perry Kuo, our CFO and Director; our Head of Marketing and Sales and Director, Jim Keim; and Sterling Du, O2's Founder, CEO and Chairman. After the prepared remarks from these gentlemen the floor will be opened for your questions. Now I would like to introduce Perry Kuo, CFO of O2Micro for a discussion of the financial highlights of the fourth quarter ending December 31, 2013. Perry?
Perry Kuo: Thanks Scott. We will now review our financial results for Q4, 2013. Please note that financial results will be presented on a GAAP basis unless we [state] otherwise. The non-GAAP result excludes stock-based compensation expense, one-time charges, non-recurring gains and losses from discontinued operations. Our full GAAP results are available in our press release that was issued earlier today. GAAP revenue in the fourth quarter of 2013 was $19.1 million. GAAP net loss in the fourth quarter of 2013 was $5.1 million. If we exclude stock-based compensation of $649,000, and the one-time expense of $1.2 million, the non-GAAP net loss will be $3.2 million. GAAP net loss per ADS in the fourth quarter of 2013 was $0.18, non-GAAP net loss per ADS was $0.11. Gross margin was 50.1% in Q4. The gross margin reflects the current revenue level and the product mix. R&D expense was $6.3 million or 33% of revenue. This amount excludes stock-based compensation expense of $170,000 and the one-time expense of $718,000 in the quarter. SG&A expense was $6.8 million or 35.6% of revenue. This amount excludes stock-based compensation expense of $479,000 and the one-time expense of $512,000 in this quarter. Income tax was $291,000 in the fourth quarter and is mainly the actual tax provisions calculated in our global taxable locations. In Q4, 2013, we repurchased 401,767 ADS units at a cost of $1.2 million. Q4, 2013 revenue by end market breaks down into the following percentages. Consumer was 45% to 55% of revenue. Computer was 25% to 35% of revenue. Industrial was 15% to 25% of revenue. Communications was less than 5% of revenue. At this time, I would like to provide some additional information. O2Micro finished the fourth quarter with $75.9 million in unrestricted cash and short term investment. This represents cash and cash equivalent of $2.73 per ADS. In addition O2Micro has no debt. Accounts receivable at the end of Q4 was $10 million. Our DSO is 51 days, is in our target range of 40 to 60 days. Inventory was $7.2 million at the end of the fourth quarter. This represents 72 days of inventory and the inventory turnover was 5 times in Q4. From a cash flow perspective, we generated $11 million cash outflow from operating activities in Q4. Capital expenditure were about $242,000 in the fourth quarter for IT and R&D equipment. Depreciation and amortization was $1.1 million in Q4. At the end of the fourth quarter of 2013, O2Micro had 492 employees, 55% of which are engineers. At this time I would like to provide our financial guidance for the first quarter of fiscal year 2014. This guidance reflects our best estimate for the current environment and is subject to change. This is the only official guidance we will provide unless we update it with the public announcement in the future. O2Micro expects Q1 revenue to be flat to down 7% sequentially. We are guiding the Q1 gross margin to be in the range of 50% to 52%. R&D expense excluding stock-based compensation should be $5 million to $6 million in Q1. SG&A should be $6 million to $7 million in Q1, excluding stock-based compensation expense. Stock-based compensation should be in the range of $600,000 to $700,000 in the first quarter. Based on the service income of our subsidiaries in different countries, we expect our tax amount to be in the range of $200,000 to $300,000 in the first quarter. In summary, our top line result in the fourth quarter were at the higher range of the guidance that we provided in October and continue to reflect a fairly weak but gradually improving end market demand environment. Excluding our legacy digital eCommerce business, we achieved revenue of $15.6 million in Q4 of 2012 compared to Q4 2013 revenue of $19.1 million or a 22% growth rate. Based on the cost cutting measures that we implemented in the fourth quarter, we believe that we have aligned our operating expense structure to more effectively manage our business in the current environment with the goal to reach a cash breakeven point in 2014. We now believe our cash breakeven point is between $20 million to $21 million in quarterly revenue and our profitability breakeven point is between $23 million to $24 million in quarterly revenue. Our guidance for the first quarter of 2014 reflects seasonal weakness as the majority of products built for the U.S. holidays and the Chinese New Year occur in Q4. Despite the seasonal weakness in Q1 of 2014, we still expect to grow our core mixed signal business in Q1 from year ago level. Additionally, based on current forecast, we do expect that full year 2014 revenue levels will increase in 2014 compared to 2013 levels. We will continue to invest in our carefully chosen growth drivers; general lighting, intelligent battery, intelligent power and backlighting. And we remain confident that the innovation and the [main] investment we were making in this product segment combined with strong design win activity and the market share gains will lead to consistent growth and the return to profitability in the future. We are now well underway in our supply chain management review and we expect to realize additional improvement to our cost structure profile in future quarters. Given the uncertain demand and the macro environment, we are prepared to continue to manage cost as needed. Although we believe we have [aligned] current cost base on current and anticipated revenue levels as a result of difficult recent cost cutting initiatives, we remain very confident in our ability to support current and the future customer demands and the progress. Finally, regarding our share repurchase program. We have been active in the program historically and we plan to be active going forward. At the end of the Q4, we had 18.3 million remaining in our share buyback authorization. Returns to shareholders are very much on our mind and will continue to be a focus in the future. I would like to thank everyone for participating and turn the call over to Jim Keim to talk more about our business. Jim?
Jim Keim: Thank you, Perry. Good morning, everyone. Last quarter, we stated that as our new product market base continues to grow we will begin to share more information including product sales information related to new products. We will now start this process and share more information with you in coming quarters. First, we would like to highlight that our analogue and mixed signal product sales grew steadily quarter-over-quarter throughout 2013 with Q4 2013 sales of analogue and mixed signal products being approximately 19.4% higher than Q1 2013. We expect to see ongoing growth in 2014 with the first half of 2014 showing reasonable growth over the first half of 2013 and project that growth in the second half of 2014 could accelerate based on ongoing new product design wins. As some investors are aware, our new product revenue growth has been mapped by rapidly declining revenues in our legacy CCFL products used in TV, as well as the rapid decline of notebook sales in 2013. Sales of CCFL continued to fall in 2013 from approximately 1 million in Q1 of 2013 to less than 1% of projected sales in Q1 2014. CCFL sales are now negligible. The new products that were the primary drivers of our 2013 growth in analogue and mixed signal products were battery management and LED general lighting products. LED general lighting products have been growing very rapidly over the past year and are now expected to contribute approximately 15% of our projected revenue in 2014. Additionally, battery management product revenues have had a steady growth over the past year in the industrial market and are expected to reach approximately 10% of the company revenues by Q4 of 2014. Additionally, our LED backlighting products are expected to continue to grow in 2014, despite a declining market in LCD monitors and lackluster TV market. While we’ve gained market share in power products for notebooks, growth in this area was mitigated by a rapid decline of notebook sales. However, we expect revenue growth to resume in power as our charger products continue to expand into new product market areas. I will now turn the call over to our CEO, Sterling Du for closing remarks.
Sterling Du: Thank you, Jim. I am pleased to report Q4 revenue that was in upper range of the guidance we provided in October. We generated revenue of $19.1 million in the fourth quarter of 2013, an increase of 3% sequentially and up 14% from year ago period. We reported a GAAP loss of $5.1 million in the fourth quarter of 2013 compared to the GAAP net loss of $10.6 million in a year ago period. We reported gross margin of 50.1% in the Q4 of 2013, down slightly from 51.4% gross margin reported in Q3 of 2013. During this challenging environment, we still maintained over 50% gross margin attributable to our proprietary technology and technical superiority. At end of 2013, we concluded difficult, but necessary cost saving measures to align the company with current and anticipated revenue levels. As a result of these measures, we have reduced operating expenses to $50 million in the fourth quarter of 2013, down from $20 million in the year ago period. And for the Q1 of 2014, we are now providing operating expense guidance to be in the range of $11 million to $13 million, which at the midpoint is up approximately 16% from year ago, specifically related to the cost saving. We have consolidated some long-term projects, including battery management solution from electrical vehicle market to focus our resource on supporting fewer customers. As we highlighted last quarter, we have also scaled back our focus and the resources on some notebook computer projects. And so have shifted resource to design wins activity in China-based tablet and smartphone markets. And finally, we also [standardized] our legal resources notably in our Taiwan facilities as we enter the greater shift from a notebook computer market to the China-based where most tablet and smartphone market are in. We believe that we will continue to support our customers to their satisfaction in design win, prototyping, quality control and the production support and we will continue to add additional design win in the segments we target. Meanwhile, we combined the resources of our power management and battery management teams to form a new business unit. We believe that as a result of this combination, the combined engineering team will have a broader focus and that we are ever to leverage our current teams of engineer to provide higher integrated solution to customers. As Jim highlighted in his remarks, we also intend to begin to breakout revenue in future quarters by our growth businesses of backlighting, general lighting and the newly formed the power management business unit. We feel that reporting in this manner will enhance the transparency of company; investors will be able to understand the growth potential in our business units. Similar to last quarter, we saw a meaningful number of recent design-wins, new start-up, ramps and significant market share gains in the quarter. I’m very pleased with the progress that we have been projecting in many of long-term growth driver including general lighting, backlighting and battery power management. Our battery business for power tools and household appliance continues to display strong design wins momentum, which will translate into meaningful revenue in upcoming quarters. We are gaining market share in this market. We expect to be a market leader for battery management solution in the near future. Depending on the type of tool appliance, we could generate between $0.50 up to $1 of content in this high margin business, while many of the world’s top tier power tool vendors adopt O2 solution. Our LED general lighting business is growing significantly and we expect this business to increase throughout 2014. We will continue our strategy to optimize the cost structure including a review of entire supply chain, combined purchase power and the vendor consolidation and general lighting in order to meet the requirement of customers, specifically in the Chinese market in addition to the active design win and business ramping up in Korea, Japan and the U.S. marketplaces. In closing, I am excited about our success for across all the core power management product lines including general lighting, backlighting and intelligent power management. So at this time, I’d like to thank you for listening to our conference call. And I’ll turn it back to Scott. Scott, please.
Scott Anderson: Thank you, Sterling. Operator at this point, we would like to open the call to questions.
Operator: Thank you. (Operator Instructions). We will take our first question from Vernon Essi with Needham & Company.
Tony Grillo - Needham & Company: Hi guys. This is Tony calling in for Vernon. Thanks for taking my call.
Jim Keim: Hi Tony.
Tony Grillo - Needham & Company: Hi. So, you mentioned last quarter that you had some optimism in the consumer electronics market going into the Chinese New Year season. I was wondering if you could maybe state to us as it relates to the demand for your products.
Jim Keim: Could you repeat that? The last part wasn't quite clear.
Tony Grillo - Needham & Company: My apologies. I was hoping you could just speak to that optimism that you had as it relates to demand for your products?
Jim Keim: Well, we see very significant opportunities for us since we look into some of the areas for particularly our power product, where we have been concentrated heavily in the notebook area. And as we look forward, we see very significant opportunities in some of the new consumer product areas that we've not been in previously. And we are in a transition period of getting design wins for those products. So, we do remain very optimistic that we will see good consumer growth, but at the same time, we'd like to stress the fact as we mentioned, we've seen good growth in areas like industrial with some of our battery management products.
Tony Grillo - Needham & Company: Okay. And I guess kind of looking at the notebook area a little more, some companies have mentioned that they are seeing or they also still hold a little optimistic for a turnaround in the notebook area around this year. Can you guys maybe talk about that a little bit?
Jim Keim: We would like to be optimistic, but I think we're not going to depend upon our growth. So basically, we're going to focus more energy and to continuing to grow some of the growth drivers where we have seen very successful results over the last year. We certainly hope that there will be some upturn in notebook if there is that can give us some additional upside.
Tony Grillo - Needham & Company: Okay. And I guess kind of my last question was, you guys talked about how decline in legacy business and decline in notebook kind of offsetting these new product introductions and revenue that’s coming through there. Could you maybe talk about where you might look at as a turning point or where that was hoped to increase your revenue rather than offset it? And I know that’s a tough question, but maybe you can just walk through that?
Jim Keim: Well, I think the time is really, now as we mentioned, we actually did grow quarter-to-quarter in analog and mix signal products in 2013 and that was significant growth, while we saw CCFL ICs drop. At this point as we move into 2014, the CCFL sales are projected to be well under 1% of our revenue base in 2014. So, basically battery is no longer a factor in terms of negative growth if you play it. So it allows our new products to accelerate what we hope will be very strong growth in 2014.
Tony Grillo - Needham & Company: And then similar to what you said, it’s a matter of not using notebooks help drive your revenue, but hoping for the eventual return demand there which would then help to increase more meaningfully?
Jim Keim: Yes, exactly.
Tony Grillo - Needham & Company: Perfect. Thanks for your help guys. 
Operator: (Operator Instructions). We’ll go next to Tore Svanberg with Stifel.
Tore Svanberg - Stifel: Yes, thank you. Just a question on gross margin; it came just above 50% in this quarter; you’ve implemented some good supply chain management practices. I am just wondering what the gross margin trajectory will be going forward? And when could you potentially get back to the 55% to 60% long-term target?
Perry Kuo: Tore this is Perry. I think due to the product mix, we have more product shift expected in 2014. But for generalizing, I think this area we probably will experience the gross margin in the area of the 50% area. So in the future from the product mix, I think that our gross margin will be in the area of the 50% to 53% area. In the first quarter, first half of this year, we experienced some new product range. Normally, we also experienced some low gross margins. So I expect the first portion of the year, we probably will be in the area of the low end of the 50%, 51%, and the second half of the year through the cost structure and also improvement on the year rate. I feel that we can gradually improve up to the higher end of the 22%, 23% area.
Tore Svanberg - Stifel: Very good. And the question on power management sounds like you have shifted some resources away from notebook to focus more on tablet and smartphone. I was hoping you could talk a little bit about the type of targets you are targeting there, is this primarily in the battery management side or would you need and go after things like DC/DC computers?
Perry Kuo: Yes, what do we saw the smart phone, the tablet PC due to the demands of the computing. So it is moving four core and eight core right now available in the market. And the CPU DC/DC opportunity as the eight core CPU is already equivalent to the lower end notebook requirement. So for the high efficiency which reduce the anticipation plus the sustainable for the current pick-up, so that all is similar to the notebook complexity CPU DC/DC. So that area could be potentially for O2Micro in the past couple of year’s expertise to support Intel AMD. That's for one and the second is due to the power consumption continue to rise up and the one cell battery for the smartphone and a two cell battery for the tablet PC, to experience the battery short operating time. And that require; one is high speed to charge in a battery; two, require high precision of the battery status. So O2Micro does have many years experience to support on the notebook and that could be providing our precision we call it Coulomb Counter. And also we have a different (inaudible) support at the same Coulomb Counter to providing a high precision of the battery so that people can enjoy higher capacity usable of the battery. At the same time, we have developing our O2Micro Expert Charge with some of the notable notebook manufacturer back to year 2002 and 2001. And those experience will help us to providing usable and visible solution for the high speed charging capability in the future of smartphone and tablet PC.
Tore Svanberg - Stifel: Very good and a question for Jim. Jim you sound pretty confident that 2014 would be a growth year for you. I understand the whole dynamics with the legacy business declining, but from a design-win prospective always I know you can’t give us numbers or guidance here, but just sort of how you feel about design wins entering ‘14 versus revenue entering ‘14? If you could qualitatively talk about that would be great?
Jim Keim: Yeah. So as I’ve mentioned the key growth drivers have been in the battery management area as well as general lighting. In general lighting we have and we have shared some of it in the past we have enjoyed some design or some major OEMs while as a number of the ODMs in this market. And in fact these designs are now starting to move into mass production. And we are seeing very good order flows in our whole general lighting product line. And we remained very confident due to the strength of our product. And we point out from some past conference calls, we do have very strong patent positions in our Free Dimming technology and we do see this starting to get into more and more design wins. So if we look at the design wins the projections from our customers, we are very confident of our general lighting position in the market and the revenue flow that we’ll generate from that. In the battery management area, we have positioned ourselves very well in a couple of key markets; those include the power tool area where again we have engaged with some very key OEMs as well as ODMs in this marketplace. And we’ve also begun to get very good design wins in some key areas like the Ebike area, which we see to be expanding quite rapidly at this point in time. So with those design wins in the key products that have been driving our revenue growth, we see ongoing growth and we also see additional excellent opportunities for ourselves in the LED backlighting area with some of the design activities we have. So we are quite positive with our design wins that we can grow revenue this year. Hope that answers your question.
Tore Svanberg - Stifel: Very good. Yeah, no that's very helpful. Just one last question on general lighting, I know you are primarily focused on China. So, there is a lot of chatter in U.S. that this year is going to be strong year for the lighting because price compete dropped about $10. Do you have sort of a similar magic price point in China and are we close to that price point for the market to pickup?
Jim Keim: Well, first of all I would agree with you that we have a lot of effort in China. But let me also point out that we have done a lot of work with companies like GE and Osram as we have pointed out in the past. And while that product is built in China, the design decisions are quite often made with the OEMs. We do see price points being very key. I think when the price points started going under the $10 area, that began to generate very significant volumes and part of that had to do with the withdraw from the market of the traditional type lighting for 100 watt, even 60 watt bulbs and the more costly mini-CCFL type lights which are also quite expensive. We continue to see the price level going down in the marketplace with competition in LED lighting. We think that this will continue and we see the volumes accelerating at this point in time. So, we're very optimistic about LED lighting. We will start to take very significant market share as we move through the next two years. So, those are our customers.
Tore Svanberg - Stifel: That's very helpful. Thank you very much.
Operator: And we'll go next to [Evan Lang with Stifel].
Unidentified Analyst: Yes, hi. Thank you for taking my questions. I was wondering if you can talk a little bit about the bookings trends going into Chinese New Year and whether your customers have provided you with any kind of forecast or what your expectations might be for the second half of this quarter?
Jim Keim: Well, we do see our customer forecast, the customer forecasts are actually reasonable. However, we did see pull-ins into Q4 as companies began to pull-in product for the Chinese New Year. So some of that obviously subtracts from Q1. The backlog for the second half of the quarter is not fully in place. However, the projections at this point in time from the OEMs including major TV manufacturers, we clearly understand where that is out and we based our guidance on that. So I hope that answers your question.
Unidentified Analyst: That’s great. Thank you. And I’d like to just piggyback on Tore’s question on the LED lighting to free dimming in particular. Is it growing faster than your non-free dimming solutions? And what portion of your LED revenue is from free dimming right now?
Jim Keim: We don’t care to break that out for proprietary reasons because that will be giving away a lot of information. What I can say is that the market is expanding very rapidly at this point in time. The initial portion of the market was for non-dimming, but right behind that we began to see a significant number of design wins in free dimming. It remains to be seen how quickly those will ramp into markets. But nevertheless, the design win activity is there as we go forward through this year, as we begin to see more of that trend, I think we can begin to break more of that out for you.
Unidentified Analyst: Great, thank you very much.
Operator: And we will go next to Andrew Huang with Sterne Agee.
Andrew Huang - Sterne Agee: Thanks for taking my questions. I just had a bigger or longer term question. I guess, when I look at the full year results, your revenues have been down I guess for three years in a row, your R&D had been increasing every year until this year. So, I guess my thought, my question is like what’s the appropriate level of R&D spending for you given these revenue levels?
Perry Kuo: As I reported in the conference, we do carefully sorting and also to some consolidation by the project and also by the group. For the current situation and based on the needs in the customer demands and also need in China and also bringing in the global areas, we can continue to support our customers in the different applications and also sectors. So, I think the -- we do believe that our OpEx will be in the area of the $11 million to $13 million area to support our revenue up to the profitability breakeven point during the 2014. I think this is very important for the 2014. Of course, I do mention that we will continue to manage the cost immediate due to the macroeconomic situation.
Sterling Du: Andrew, let me add something. So our R&D has been reduced since a year ago into Q1 2013 that's we do the consolidation plan in the end of 2012. And then we further do another consolidation plan in Q4 2013 right now. So, R&D doesn’t -- is go to the downward since beginning of the last year.
Andrew Huang - Sterne Agee: So does that mean that for the full year for 2014, we should expect R&D expense for the full year to be down compared to 2013?
Sterling Du: Of course, yes. We have -- if you listen to my presentation just now, we are coming from three cost saving plans, three sectors. One is, we do legal activity scaling back then we will also to focus on fewer customers for some [Northern] project and also number three we also make the efficiency for some organization to make the group as we pull out shorten. So as a result of that we are looking at another 50% [down] from Q1 from the last year. If you look at the Q4 2012, so we found $20 million OpEx all the way to Q1 2014, the guidance Perry provided, we are only in the midpoint of the $12 million. And so for $20 million OpEx in the five quarter return to the $12 million, right. So the management team does go through very difficult and challenging time without the major impact to our customer support and also the core competence project and we move on. So there is something I like to make sure you understand the picture, okay.
Andrew Huang - Sterne Agee: Thank you very much. That's helpful. And then I just had a question; when you gave the breakeven revenue targets you said that $20 million to $21 million in revenue for what kind of breakeven; is it breakeven for gross margin or what was the metric there?
Perry Kuo: $20 million to $21 million is for the cash breakeven.
Andrew Huang - Sterne Agee: Cash breakeven, got it.
Perry Kuo: Cash breakeven, yeah.
Andrew Huang - Sterne Agee: And then the $23 million to $24 million was for EPS?
Perry Kuo: Yeah for the breakeven, yeah for the profitability breakeven; if we include the non-cash items which are depreciation and also the stock-based expense.
Andrew Huang - Sterne Agee: So, do you expect to hit the $23 million to $24 million revenue level at some point in 2014?
Perry Kuo: Yes, this is what we expect.
Sterling Du: Well, we don’t give out guidance, Andrew. We are confident, but don’t take it -- we cannot give you the full year confidence, so the forecast here. But you can calculate that right.
Jim Keim: Yeah, what we said was we expected to reach cash breakeven level sometime in 2014; we didn’t really talk about the profitability breakeven level at this point in the year.
Andrew Huang - Sterne Agee: Okay, got it. Okay. And I think when you look at the numbers actually, the December quarter was actually the first time in three years where you’ve had year-over-year revenue growth. Does that sound the right to you?
Jim Keim: That’s correct.
Andrew Huang - Sterne Agee: Okay. Okay. Thanks very much.
Perry Kuo: Thanks Andrew.
Operator: (Operator Instructions). Thank you. There are no further questions in the queue. I would like to turn the call back over to Scott for any closing remarks.
Scott Anderson: Thank you all very much for your attention this morning. Please feel free to contact me at area code 408-987-5920, extension 8888 with any follow-up questions. So, have a good day and thank you again for your attention. Good bye.